Operator: Good day and thank you for standing by. Welcome to The RealReal's Q4 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. I would like to now hand it over to Caitlin Howe, Head of Investor Relations. Caitlin, you have the floor.
Caitlin Howe: Thank you, operator. Joining me today to discuss our results for the period ended December 31, 2022, are President and Chief Operating Officer, Rati Levesque; and Chief Financial Officer; Robert Julian. Also joining us on the call today is our new Chief Executive Officer of The RealReal, John Koryl. John joined the company earlier this month and we are very excited to have him on board. Before we begin, I would like to remind you that during today's call, we will make forward-looking statements which involve known and unknown risks and uncertainties. Our actual results may differ materially from those suggested in such statements. You can find more information about these risks, uncertainties and other factors that could affect our operating results in the company's most recent Form 10-K and subsequent quarterly reports on Form 10-Q. Today's presentation will also include certain non-GAAP financial measures, both historical and forward-looking, for which historical financial measures, we have provided reconciliations to the most comparable GAAP measures in our earnings press release. In addition to the earnings press release, we issued a stockholder letter earlier today, both of which are available on our Investor Relations website. I would now like to turn the call over to John Koryl, Chief Executive Officer of The RealReal to introduce himself and provide a brief overview of his background. Then John will pass it over to Rati and Robert for an update on the business and finally, we will go into our Q&A session. John?
John Koryl: Thanks Caitlin and welcome everyone to the call. As Caitlin mentioned, I wanted to take a few moments to introduce myself and provide some further insight into my background. First, let me start by saying I'm thrilled to have joined The RealReal, the company's approach, customer breadth and brand recognition within luxury resale are second to none. I am excited about our digital first company with growth tailwinds in terms of consumer trends and demographics, along with an authentic ESG story. Perhaps and most importantly, the talent that I have encountered so far at The RealReal is inspiring. I see a bright future for the business. As we all know the company's valuation is under pressure at the moment, and achieving profitability is the company's focus. I have built a 30-year career finding efficiencies and driving profitable growth at e-commerce businesses. Let me give you a few examples. Most recently, I led Canadian Tires online business through a period of substantial growth. We demonstrated operational excellence through the COVID-19 pandemic, amid a massive surge in demand and disruptions to our store operations. We accomplished significant cost reductions, while improving service levels for our millions of e-commerce customers. We improve the unit economics of the business with a particular emphasis on fulfillment and digital marketing efficiency. Similarly, during my tenure at Neiman Marcus, we drove considerable growth of our digital platform through new marketing vehicles, site experience improvements and omnichannel efficiencies. We balanced growth with profitability during this period, focusing on marketing to the right customers, delivering them the right experience, and doing so in the most efficient way possible. This takes lots of testing and quickly scaling small wins to produce significant results. Now I have no illusions that The RealReal's path to profitability will be achieved overnight, or with only minimal effort. Rather, these types of accomplishments take both time and energy. I believe I have the knowledge and experience within a retail tech environment to effectively lead the company through this process. Based on what I've seen in my first month at The RealReal, I am confident we can achieve profitability in the near future. I am energized to work with the team to continue to up-level our consignor experience as we relentlessly pursue our mission of extending the life of luxury. I also look forward to getting to know the investors and equity research analysts who support us. Thank you, and I look forward to speaking again in May. I'll now pass it over to Rati to give you an update on our business trends and key initiatives.
Rati Levesque: Thanks, John. Today, we reported solid financial results for the fourth quarter and full-year 2022. For the fourth quarter, both revenue and adjusted EBITDA came in better than the midpoint of our guidance. For full-year 2022, we improved our adjusted EBITDA loss and adjusted EBITDA margin compared to the prior-year. Despite a more challenging business environment, I believe we have made the changes necessary to deliver better results. Over the past six months, Robert and I identified and started to push on different levers in the business to reach profitability. To this end, we have been and continue to be focused on four key initiatives, which we laid out on the last earnings call. First, adjust our seller commission structure; second, continue to drive efficiencies and reduce costs; third, further optimize our product pricing to get the best price for our sellers in TRR; and finally, capitalize on potential new revenue streams. The first key initiative was to update our commission structure, which we implemented in November of 2022. The goals were to optimize take rate, limit the consignment of lower value items and increase the supply of higher-value items. We are closely monitoring the impacts of our recent changes, and we are encouraged by the early results. We have seen supply continue to come in and value is growing faster than units, which is aligned with the intended goal of the changes. Over the next few months, we will analyze the data and identify ways we can continue to improve our take rate profile. The updates to our consignor commissions also included two elements to enhance the consignor experience. First, we added a dynamic tool to our website to allow consignors to calculate their potential earnings, enhancing transparency in the consignment process. Additionally, we began rolling out our new consignor Concierge team, which pairs each consignor with a small dedicated team of consignment customer service experts. Early results indicate that the consignor Concierge team is helping us to resolve issues faster, increase our Net Promoter Score and improve the overall consignor experience. Going forward, we will continue to assess our approach to further optimize commission structure and enhance the customer experience. Regarding the second initiative around improving efficiencies and cutting costs, we recently announced a reduction in our workforce of approximately 7% of the total employee base and a rationalization of our real estate footprint. As part of this action, we announced the closure of two flagship stores, two neighborhood stores and two luxury consignment offices. We closed underperforming stores, and we will continue to thoughtfully assess our store fleet to optimize our retail footprint. We continue to be optimistic about brick-and-mortar retail as a channel to efficiently scale supply as well as offer an outstanding brand presentation. However, we will be disciplined in opening and closing stores to efficiently manage our cost base. Another area of efficiencies has been in our marketing spend. our buyer acquisition cost was down 36% in Q4 2022 compared to Q4 of the prior-year, while effectively managing our marketing costs, active buyers was up 25% in the fourth quarter. We will continue to identify and drive efficiencies in the business. The third initiative to further optimize our dynamic product pricing is showing good progress. We are using our pricing algorithm to drive higher initial prices. During Q4, approximately one quarter of all of our inventory was covered by our new algorithm, and we anticipate that by year-end 2023, we'll have closer to 80% coverage. As you know, product pricing directly impacts our sellers as well as our profitability. We are moving fast and with urgency, but we believe these key initiatives will take time and their impact will not be meaningful, not be meaningfully reflected in our financial results until the second half of this year. In combination, we are confident these key initiatives will help move the business to profitability. Furthermore, we are excited to get John up to speed and move into the next chapter of The RealReal's evolution. I'll now pass it over to Robert to discuss our fourth quarter and full-year 2022 results.
Robert Julian: Thanks, Rati. We are pleased with the financial progress we made throughout 2022. We are especially encouraged that the changes we made during the year in particular, shrinking the direct business and growing the profitable consignment business were evident in our fourth quarter results. During the fourth quarter, GMV grew 13%, and our total revenue grew 10% compared to the prior-year. It's important to note that the revenue growth was a combination of profitable consignment revenue growing 27% and unprofitable direct revenue shrinking 27%. This resulted in a significant improvement in our gross margin in Q4 2022. During the fourth quarter, our gross margin was 60.5% and an increase of 490 basis points compared to the prior-year. We expect that our gross margins will continue to improve in 2023. In Q4, gross profit increased $16 million or 20% compared to the same quarter in the prior-year. For the fourth quarter of 2022 adjusted EBITDA was a loss of $20 million or minus 13% of revenue compared to a loss of $27 million or minus 19% of revenue in the prior-year. We ended the fourth quarter of 2022 with $294 million of cash and cash equivalents on hand. The use of cash in the fourth quarter of 2022 was $7 million. This is a significant change in trend compared to the $102 million use of cash through the first half of 2022. At the end of Q4, we had $43 million of net inventory on hand, a decrease of $20 million compared to the end of the prior quarter and a decrease of $28 million compared to the end of the prior-year. We expect that our inventory balance will continue to decline in 2023. Today, we are providing first quarter 2023 guidance. Given that John is new in his role, we will not, at this time, be providing full-year 2023 guidance. However, we anticipate providing full-year financial targets during our next earnings call in May. For the first quarter of 2023, we project GMV to be in the range of $340 million to $360 million. We project Q1 revenue to be in the range of $135 million to $145 million, and we project Q4 adjusted EBITDA to be in the range of minus $35 million to minus $31 million. As a reminder, Q1 is seasonally a lower volume quarter for us. Additionally, our Q1 guidance includes a sequential increase in bonus accrual and a onetime accrual for the change in our loyalty program. Taken together, these create a flat year-over-year comparison in our adjusted EBITDA and a sequential decline compared to Q4 2022. Turning to longer-term targets. We continue to project that The RealReal will be profitable on an adjusted EBITDA basis in full-year 2024. We will give John more time to assess our business before committing to specific financial targets beyond 2024. We look forward to updating you on our progress operationally and financially as we move through 2023. Thanks very much for your attention, and we will now go into our Q&A session.
Operator: Thank you. At this time, we will conduct a question-and-answer session. [Operator Instructions]. Our first question comes from the line of Anna Andreeva. Anna, you have the floor.
Anna Andreeva: Congrats and welcome, John. Can you hear me?
John Koryl: Yes, we can hear you, Anna.
Anna Andreeva: Great, thank you so much. I would say congrats and welcome to John joining RealReal. We had two questions. I wanted to follow-up on the guidance. So first off, sales guide for flat to down. Is that primarily weighted by greater [indiscernible] from direct? I'm assuming the take rate also is lower on all the mix changes in the business. but just wanted to reconcile that? And then secondly, you mentioned the EBITDA decline is bigger sequentially despite less profitable direct business being a smaller percentage of the mix. Can you just talk a bit more on what's driving that? Robert, I think you mentioned the changes to the loyalty program, I just was hoping to get more color? Thank you so much.
John Koryl: Sure thing, Anna. I'll start on that and let the others chime in as well. So in terms of the guidance and the flat revenue year-over-year, I'm actually very happy that you've asked the question, Anna, because I would like for folks to think about our business, bifurcate it now between the growth of our consignment business and the growth of our direct business. We talked about that in our Q4 results and how it impacted gross margin. But what we're seeing in that result that overall minus 1% revenue is actually the consigned business continuing to grow in the 20% range, that good profitable business. We're seeing our direct business declined significantly year-over-year Q1 of '23 versus Q1 of '22. You may recall that our direct business peaked both in terms of absolute dollars and in terms of its percentage of total revenue in Q1 of 2022, it was 34% of our total revenue in Q1 of 2022. And so the overall growth rate is really two different stories. The consigned -- the good consigned business, the profitable consigned business growing very healthily and the unprofitable direct business is shrinking. It does have a significant impact on our gross margin, which we project to continue to improve. But it brings me to your second question, which is if you're growing your very profitable business, more and you're shrinking the unprofitable business, why is there such a decline sequentially in adjusted EBITDA? And really, the biggest impact is volume. You can see that there's a significant decline at the midpoint of our guidance in overall GMV roughly $50 million in a decline in revenue. And that by itself would create a $10 million headwind sequentially in our adjusted EBITDA. It is somewhat offset by the actions we've taken on commission. Maybe half of that would be offsetting the pure volume decline. But it does leave a further gap that needs to be explained. And I would say we mentioned in our opening comments that there is a bonus accrual, an annual bonus accrual, which frankly, did not pay and what's not accrued in the prior-year, which creates a couple of million dollar sequential decline. There's also this loyalty program. We changed our loyalty program, and it requires an accrual to be built up on the balance sheet that is front loaded in the beginning of 2023, which is another couple of million dollar decline. And there actually is somewhat of an increase in marketing expense in Q1 of 2023 as we continue to work on adding additional consignors and customers and so on. And a little bit, it's hardly worth mentioning some of this customer service activity has a little bit of a sequential increase as well. So that's why you see the sequential decline Q4 to Q1.
Rati Levesque: And just to add a little bit of color to that. Q1 is always a soft quarter for us. In retail, you just do see less volume in comparison to Q4. So in addition to everything Robert said, the onetime accrual and then a smaller investment, like he mentioned in the concierge pause with good news is we are seeing a healthy result in Net Promoter Score because of that.
Anna Andreeva: All right. Well, thank you so much. It is very helpful. Appreciate it.
John Koryl: Thanks, Anna.
Operator: Our next question comes from Mark Altschwager with RW Baird.
Mark Altschwager: Thanks for taking my question. Thank you. I guess just a higher level to start with, we've been hearing more about the aspirational consumer pulling back. And curious what you're seeing on your platform and really your updated views on the impact of that trend should it happen as consumer stress continues to build? Do they seek value and then seek out the RealReal or are they going to pull back on these categories altogether? And then thirdly, just in light of the restructuring, I was hoping you could touch more broadly on the real estate strategy. I guess how important -- what is your assessment of how important these physical locations are for driving customer acquisition and supply acquisition? Or are you finding maybe more efficient ways to drive that moving forward? Thank you.
Rati Levesque: Yes. Thanks, Mark. I'll take those, and I'll let the team add if needed. On the consumer side, it all starts at the top of the funnel, similar to the seller traffic is quite healthy and strong. Active buyers, we've mentioned, is up 25% year-over-year. Our repeat rate looks good. I think I mentioned on the last quarter, we were seeing a bit of a trade-down effect where people instead of buying the top-tier luxury brands was maybe kind of trading down to that next year, five points less here and there. What I will say is that it's stable. So we're not seeing that go up or down, since it has stabilized since Q3. So overall, pretty healthy on the consumer side both buyer and seller, and we feel good about that and really playing into the value play that we are especially on the pricing side as we go into more uncertain time. And then your next question on restructuring and real estate strategy, specifically on -- I think you're speaking about the retail stores. A couple of things I want to mention there. First of all, we're always optimizing our fleet. It's a dynamic strategy. We looked at some of the locations that weren't maybe performing as well as the others. So where we really focused was around our flagship stores and luxury consignment offices, which were early concepts and less sufficient to drive supply. They're quite expensive to run, especially the flagship store. So I don't want to say never say -- never say never, but we don't expect to open more flagship. And what we're finding is the most efficient way to gain supply it's really our neighborhood stores. So it's in between that luxury consignment office and that flagship, and that's where we're seeing the most value come in and the most volume, but we continue to be opportunistic with these retail locations, and we're getting smarter about our leasing and contracts in our markets that we're targeting.
Mark Altschwager: Great. Thank you for the detail and welcome to John.
John Koryl: Thank you very much.
Operator: Please standby for our next question. Our next question comes from Blake Anderson with Jefferies.
Blake Anderson: I appreciate the question. I wanted to ask on the profitability side. You mentioned your four key initiatives. I think you said some of those will take time to become meaningful. I was wondering how much we should expect them to contribute to profitability goals this year? And then how much should they kick in by next year?
Robert Julian: I'll start that one, Blake. I think that we had mentioned that many of these initiatives, you're really going to see the full impact in the second half of 2023. And I think that you should expect a pretty significant improvement in our adjusted EBITDA performance in the second half of the year. And as we mentioned before, we're not providing full-year guidance. But I'm not going to give too much of the details of that. So we'll provide full-year guidance on our next call. But I do think it's fair for you to expect sequential improvements in adjusted EBITDA every quarter of 2023 and a pretty significant change in trend in the second half of 2023, leading to our confidence that we will be positive adjusted EBITDA in the full-year of 2024. And it's really a combination of all the strategic initiatives that we've been talking about, they all have varying degrees of impact on the overall results. But and the cumulative effect is what I just mentioned in terms of our expectation for adjusted EBITDA improvement.
Blake Anderson: That's super helpful. I wanted to follow-up on the authentication process. I know that's a key focus for you. Can you talk about your investment in that part of your business and just how it's resonating with consumers in the market and your progress on scaling those costs? Thanks so much.
Rati Levesque: Yes. So authentication really is core to what we're doing, and we're always looking to find efficiencies there. I think we talked about Investor Day all the technology that we've invested in. So more than now 40% of our handbags are authenticated via machine learning. We've invested pretty significantly in how we measure and authenticate jewelry, diamonds specifically, where now we can hire a technician versus a gemologist to authenticate those items. So we'll continue to optimize. We have a roadmap, a short, medium and long-term roadmap to really find even more efficiencies there to kind of offset the rigor of authenticating.
Blake Anderson: Very helpful. Thank you.
Operator: Please standby for our next question. Our next question comes from Kunal Madhukar with UBS. Kunal you have the floor.
Kunal Madhukar: Hi, great. Thank you. Thanks for taking the questions. A couple, if I could. So one is on AOV. AOV was down 2% year-over-year. And you said that, that was because of lower selling prices. Can you talk about how this kind of -- the kind of compensation that is happening between lower AOV versus your lower emphasis on low-value items? And how we should kind of look at like AOV trends going into the rest of 2023? That is one. And the second is regarding the marketing expenses. So the marketing expenses is definitely lower. Cache you reported was 36% lower. What exactly are you doing on the marketing side that is leading to greater efficiency? And then as you look at 1Q '23, why do you think marketing expenses will be higher in 1Q '23 when it's a seasonally weaker quarter?
Rati Levesque: Yes. Thanks, Kunal. I'll take the first one there. As far as the AOV be being down 2% year-over-year, and the lower emphasis on low-value and how we should consider that. UPT, units per transaction is flat. Average selling price is slightly down, but that's really driven out of mix more than anything. So the commission changes are not yet impacting those numbers. But it really is just kind of all weighing game between AOV, UPT and ASP. And net-net, we expect those numbers to go in the right direction as far as value of the item. So as we get out of items that are low-value under $100, you're going to see kind of all of those numbers lift in the right direction. UPT is the one that would stay flat. But again, net-net, with ASP increasing and AOB increasing, that's how you can expect the numbers to trend in the back half of the year. As far as marketing expenses and the back piece, yes, we did find great efficiencies, down 36% year-over-year. I would say a couple of different things. We're getting smarter on our marketing spend. We're really going after our most valuable sellers and targeting them at the right time. We know when they buy a handbag. We're getting smarter about when to know when they are ready to sell that handbag and target them then. There's retail and marketing optimization that's happening between the two channels as well. Retail is pretty significant there. We also just have -- when you have a lot of volume and you have really great product, that also helps the marketing spend, especially with the repeat buyers. So -- and then I'd say the one other thing that we are doing and really is helping our flywheel effect is a re-consign. And we have invested again in getting people to when knowing when they are buying with us and then getting them to a re-consign at the right moment.
Robert Julian: And Kunal, one thing I'll add on, we made some comments. I made some comments about the sequential change in adjusted EBITDA from Q4 2022 to Q1 2023, and I said there was more marketing expense sequentially between those two quarters. I would not make an assumption about what that means of our overall marketing expense in 2023 on a full-year basis versus overall marketing expense in 2022. We haven't -- as we mentioned before, we haven't given full-year guidance yet. So that sequential change may not be indicative of a full-year change in trend on the change in marketing, spend in aggregate.
Kunal Madhukar: Thank you, Rati. Thank you, Robert.
Rati Levesque: Thank you, Kunal.
Operator: Please standby for our next question. Our next question comes from Noah Zatzkin of KeyBanc Capital Markets. Noah you have the floor.
Noah Zatzkin: Hi, thanks for taking my question. Just real quick to circle back on the real estate rationalization. How should we think about kind of the short-term potential impact to GMV in the metros that are affected, anything material that you'd call out there? And then second, just kind of a housekeeping item from a modeling perspective, how should we be thinking about the 7% kind of reduction in workforce looking into next year? Thank you.
Rati Levesque: Yes, I'll take the first one. As far as real estate and stores are concerned, Again, we were very careful about which stores and real estate that we decided to shut down. Again, these were stores that were underperforming in comparison to the rest of the past. So we do not -- we're not assuming any changes in volume or consumer because of the store closures. That is not something that we're worried about at this time. And then your question about the 7% workforce. I'll let Robert to take that one.
Robert Julian: Sure, I'll take that. And we -- all that we've disclosed financially about the reduction in force is the cost of the severance and so on, somewhere between $1.7 million and $2.5 million. We've given a number in terms of how many folks are impacted by that, the 7% or roughly 230 people. We did not give a figure on a full-year savings amount, again, because we did not provide full-year guidance. We didn't want to give a partial full-year impact of one of the elements that creates our full-year projections. But for modeling purposes, I guess, I would say you could make an assumption relative to how much you think a fully loaded person is impacts the P&L, and you could apply it to roughly 230 folks, and you would get the -- at least the incremental impact of that one piece of our expected full-year results in 2023.
Noah Zatzkin: Very helpful. Thank you.
Rati Levesque: Thanks Noah.
Operator: [Operator Instructions]. Our next question comes from Marvin Fong with BTIG. Marvin you have floor.
Marvin Fong: Thank you for taking my questions. Good evening. Welcome aboard, John. Just one for me, I guess. Just on take rate, it was -- I apologize if this was asked earlier, but marketplace take rate, I think, declined sequentially. And I understand, I think historically, the fourth quarter is a lower take rate, but you guys also, I think instituted those changes that could have -- should have increased take rates. So I just -- I was wondering if you could just kind of walk us through those dynamics? Did everything kind of just behave as you expected? And it fell out to the 35.7% or did something worth calling out occur this past quarter? Thanks.
Robert Julian: One of the things, Marvin, I would mention is we always talk about take rate is effectively the result of our mix of what people are putting in their basket and whether it's high priced items that have a relatively lower take rate or lower price items that have a relatively higher take rate. And I would say, while we made a change to our commission structure and take rates in Q4 not much of that was very much reflected in the Q4 results or the Q4 take rate. It was just too far into the quarter, and there's just too much of a lag to see that. So I would attribute any change sequentially in take rates, it's just a change in mix between low take rate items and high take rate items that folks put in their basket. I do think that it's fair to anticipate that there could be an improvement in take rate year-over-year based on the commission structure changes that we made, which was being partially the intent of that exercise.
Marvin Fong: And I guess if I could follow-up maybe on the topic of mix, because of the pandemic and the savings thereafter, there was a lot more consumption of jewelry and handbags and then it seemed like that was reverting back to apparel. Any update you can give us on sort of how mix is trending among your different categories?
Rati Levesque: Yes. Sure, Marvin. I can take that one. As far as categories are concerned, they're all doing actually quite healthy, really driven out of ready-to-wear, but a lot of that, like you mentioned, is just rightsizing to pre-pandemic numbers. And this has been pretty stable. So as people are getting back out there, we're seeing a lot more sales in ready-to-wear and then as well as fine jewelry, specifically driven out of unbranded. The other category that has been quite strong for us is men. So on the -- both on the supply and demand side.
Marvin Fong: Okay. That's great. Very helpful. Thank you.
Rati Levesque: Thank you.
Operator: Our next question comes from Lauren Schenk with Morgan Stanley. Lauren you have the floor.
Nathan Feather: This is Nathan Feather on for Lauren Schenk. So I just like to dig a bit more on the supply trends you're seeing after raising take rates on the lower value items. Did you see a divergence in the supplier behavior between those only consigning lower-value items and those consigning across various price points? And a different note, just provide some color on what you're seeing in demand trends quarter-to-date? Thank you.
Rati Levesque: Yes. So on the commission structure and the changes that we made on the supply side, good news is we're seeing value, like I mentioned, come in. What it is doing what we wanted to. One of our objectives was minimizing the lower-value items, so specifically items under $100 million. So we are seeing that that happen as a results for sure. And it's still pretty early in the read there, but the rest of the price points, mid-tier and especially high value is quite strong. You may see us tweak our commission structure accordingly. We're watching it. We're analyzing it every week. We're making sure all the price tranches are coming in the way we want it to and that we're really optimizing the mix the way we needed to. So. again, it's doing what we want to on low, low-value items under a $100 million is how we identify that internally and then mid and especially high doing quite well. So we'll continue to monitor that. And I'm sorry, you asked something about the buyer behavior. Is there a divergence? No changes in the buyer behavior, except for what I said around the categories, ready-to-wear being quite strong versus pre-COVID numbers. But no changes on the buyer side in relation to the supply coming in or the commission changes. And we wouldn't expect to see anything based on the commission change on the supplier side.
Nathan Feather: Great. Thank you.
Operator: Our next question comes from Edward Yruma with Piper Sandler. Edward you have the floor.
Edward Yruma: Hey, John, just a bigger picture question. As you looked at this opportunity to join RealReal and you kind of peel apart the P&L, and I appreciate you're not giving financial guidance there yet. But do you think Real fundamentally has a top-line problem or does it have a cost problem as you think about that path of profitability?
John Koryl: Edward, thank you for the question. The reason I joined, quite frankly, is the RealReal defined the space. And our job, as you've heard from these guys, Rati and Robert specifically, is it's time to refine it. And what we have to do is make sure that the supply we get can be processed by us in a profitable way, right? So some of that is we have to get better operationally, right? We have to spend the time addressing all of those things, getting in that right supply, getting it authenticated in the right way, shipping it more efficiently. But at the same time, we had to adjust the commission rates so that we can find that right mix and balance. The demand side has not been the problem with the RealReal. The challenge is always finding that right supply to grow the business. So again, I joined here, quite frankly, because of, A, the mission, right; B, the model. It's wonderful having the right and the permission to work with consigners to display their inventory for sale and get away from the direct buy ourselves. And I find myself very bullish. I think of it in sort of three ways. Number one, how do I make it the best benefit possible for the buyer? How do I make it the best benefit possible for the consigner and finding that win-win? And then how do we do our part. And what I'm most excited about is the team is addressing each of those in a consistent manner. So we're literally tearing apart every aspect of the P&L to say, where do we do our part. How do we look at the commission -- what do we do to make sure that we have the right buyer value proposition as well. So there are no easy answers. There are no silver bullets. There are things that we just need to test, learn, increment and quite frankly, implement a lot of small wins that lead to big results. And I commend Rati and Robert and all the works they've done in the past few months with really getting out there and testing so many different things. Now we're digesting some and ready to make the next steps in terms of profitability. So again, not one line, it's a multi-lane answer.
Edward Yruma: Thank you.
Operator: That concludes our Q&A. I would now like to turn it back over to Rati Levesque for closing remarks.
Rati Levesque: All right. Thank you for joining us today. Before we close the call, I want to take a moment to express our deepest gratitude to the RealReal team. We want to acknowledge that many changes the organization has undergone over the past several months. Each of you have demonstrated impressive flexibility and commitment throughout this process. We are excited about the direction of the business, and we appreciate your tireless effort, energy and passion. We look forward to partnering with you to keep making a difference in luxury resale and for the planet. To our people at the RealReal, thank you. Finally, I'd like to thank our more than 31 million members who are joining us on our mission to extend the life cycle of luxury goods and make fashion more sustainable. Thank you.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.